Operator: Thank you all for standing by, and welcome to the Hamilton Lane Incorporated First Quarter Fiscal Year 2022 Earnings Conference Call. [Operator Instructions] I'll now turn the call over to your host, Vice President of Investor Relations, John Oh. Sir, you may now begin.
John Oh: Thank you, Jesse. Good morning, and welcome to the Hamilton Lane Q1 Fiscal 2022 Earnings Call. Today, I will be joined by Mario Giannini, CEO; Erik Hirsch, Vice Chairman; and Atul Varma, CFO. Before we discuss the quarter's results, we want to remind you that we will be making forward-looking statements based on our current expectations for the business. These statements are subject to risks and uncertainties that may cause the actual results to differ materially. For a discussion of these risks, please review the risk factors included in the Hamilton Lane's fiscal 2021 10-K as amended and subsequent reports we filed with the SEC. We will also be referring to non-GAAP measures that we view as important in assessing the performance of our business. Reconciliation of those non-GAAP measures to GAAP can be found in the earnings presentation materials made available on the Shareholders section of the Hamilton Lane website. Our detailed financial results will be made available when our 10-Q is filed. Please note that nothing on this call represents an offer to sell or a solicitation to purchase interest in any of Hamilton Lane's products. Beginning on Slide 3. For the quarter, our management and advisory fee revenue grew by 10%, while our fee-related earnings grew by 21% versus the prior year period. This translated into GAAP EPS of $0.78 based on $28 million of GAAP net income and non-GAAP EPS of $0.84 based on $45 million of adjusted net income. We have also declared a dividend of $0.35 per share this quarter, which keeps us on track for the 12% increase over last fiscal year, equating to the targeted $1.40 per share for fiscal year 2022. With that, I'll now turn the call over to Mario.
Mario Giannini: Thanks, John, and good morning. I'd like to begin by acknowledging an important third milestone. In June, we celebrated our 30th anniversary. Having started with a single advisory client, today, we have the privilege of serving more than 700 global institutional clients along with our growing retail presence. Our focus on innovation and growth has allowed us to meet the needs of our clients within an evolving and increasingly complex asset class. I'm extremely proud of all that we have accomplished over the past 30 years, and we look forward to continuing our leadership position into the future. Let me now turn to some results for the quarter, beginning on Slide 4. Here, we highlight our total asset footprint, which we define as the sum of our AUM, assets under management, and AUA, assets under advisement. Total asset footprint for the quarter stood at $757 billion that represents a 47% increase to our footprint year-over-year, continuing our long-term consistent growth trend. Consistent with prior quarters, AUM growth year-over-year, which was $23 billion or 34% came from both our specialized funds and customized separate accounts and continues to be diversified across client type, size of client and geographic region. Our focus remains simply growing and winning across both lines of business, and we are pleased with the continued success. As for our AUA, similar to what we've seen with our AUM, growth year-over-year, which came in at $218 billion or 49% was from across client type and geographic region. As we have mentioned on prior earnings call, AUA can fluctuate quarter-to-quarter for a variety of reasons, but the revenue associated with AUA does not necessarily move in lockstep with those changes. And while this quarter saw an increase in AUA dollars relative to the previous quarter, we will continue to emphasize that no direct correlation exists between the scale of AUA dollars and revenue generation. Let me now turn it over to Erik.
Erik Hirsch: Thank you, Mario, and good morning. Moving on to Slide 5. Here, we highlight our fee-earning AUM. As a reminder, our fee-earning AUM is the combination of our customized separate accounts and our specialized funds with basis point-driven management fees. We will continue to emphasize that this is the most significant driver of our business as it makes up over 80% of our management and advisory fees. Relative to the prior year period, total fee-earning AUM grew $3.8 billion or 10%, stemming from positive fund flows across both our specialized funds and our customized separate accounts. Taken separately, $2.1 billion of net fee-earning AUM came from our customized separate accounts, and over the same time period, $1.7 billion came from our specialized funds. Growth in these 2 segments continue to be driven by 4 key components: one, re-ups from our existing clients; two, winning and adding new clients; three, growing our existing fund platforms; and four, raising new specialized funds. Additionally, our combined fee rate remains steady. Moving to Slide 6. Fee-earning AUM from our customized separate accounts stood at $26.4 billion, growing 9% over the past 12 months. We continue to see the growth coming across institution type, size and geography. What you also see here is that over the last 12 months, more than 80% of the gross inflows into customized separate accounts came from existing clients. You've heard us say in the past that re-ups from our existing client base remains a key component of the growth we've achieved in this segment of fee-earning AUM. In addition to re-ups, we continue to expand our client base by winning and adding brand-new relationships, which, in turn, provide a growing base for future re-up opportunities. Moving to our specialized fund. Growth here continues to be strong. We are executing well across our product suite and demand remains robust, coming, like the rest of our business, from a diversified set of investors around the globe. Over the past 12 months, we've achieved positive inflows of $1.7 billion, resulting in an 11% increase in fee-earning AUM. Turning to fund-specific updates. During this fiscal quarter, we held a third close for our direct equity fund, formerly known as our co-investment fund, the close totaled nearly $223 million of LP commitments and brings the total raised for this fund to over $973 million. We are pleased with the success to date and the strong demand being shown around the globe for this product. We have 24 months from the first closing to complete the raise for this product, and so we expect to be in market through October of 2022. Next, we announced the first closing of our second impact fund on July 22 with nearly $148 million of LP commitments. This is a direct investment fund targeting impact and ESG-oriented opportunities. This first close surpasses the entirety of our first impact fund that we closed in July of 2020 with nearly $100 million of commitments. Given the smallest nature of that fund, combined with very strong deal flow, it was deployed relatively quickly and returns to date have been very strong with the funds reporting a net IRR of almost 47% as of March 31. Interest in this space continues to grow. And given our strong market position and early returns from the predecessor fund, we are encouraged by the demand we are seeing from investors. We have until January of 2023 to complete this fund raise. Let me now take this opportunity to introduce our newest specialized fund platform, one focused on infrastructure investing. Prior to our acquisition of RAPM 4 years ago, Hamilton Lane had long been active across the infrastructure and real asset space through our separate account business. Combining our existing resources with those of RAPM, we have built a scaled operation with a long-standing proven track record. The platform has grown nicely to date through our various separate account activities along with some additional advisory mandates. Interest from investors in a dedicated Hamilton Lane product has continued to increase, and as such, we've launched our first dedicated infrastructure specialized fund. At the end of July, we have closed on $310 million of investor commitments in and alongside the fund. The portfolio will consist of both infrastructure-focused secondaries and direct equity transactions. The fund has already begun investing and deal flow is robust. We have until March of 2022 to complete the fund raise, and we look forward to providing you with additional updates in the future. Shifting gears now to our Evergreen platform. Demand for our products in this space continues to be strong. We have quickly established ourselves as one of the leaders in the space, and we are in a very small group of managers responsible for Evergreen platforms that exceed $1 billion in size. We've been very encouraged with how this platform has scaled around the globe in a relatively short amount of time. Our geographical reach continues to expand and we now have investors from 18 countries spanning the Americas, Asia, Europe, the Middle East and Australia. Additionally, the product is being offered through 20 distribution partners with a healthy pipeline of additional partners that we expect to come online shortly. For the month of July, the platform saw inflows of over $78 million. Total inflows of nearly $500 million in the first 7 months of 2021 have already exceeded the entirety of the flows for 2020. This now all results in the platform standing at approximately $1.3 billion in AUM in a little over 2 years since the initial launch. Overall, our continued success here confirms that our offering and strategy is resonating well with investors in this channel. We continue to be pleased with the momentum we've generated thus far and look forward to expanding even further. Let me now take this time to provide an update on one of our strategic technology investments, which will highlight both our strategic approach and successful investment track record. As you've heard us say before, we approach technology strategically. There are some systems that we should create and own outright and we do, and there are others where partnering and collaborating with world-class development teams makes more sense. In those situations, we put our balance sheet capital behind the initiative and add our market expertise and strategic insights to create a strong company. In 2015, we identified a need for both us and our asset class to find a CRM and a deal-tracking solution that was more tailored to the intricacies of the private market, in turn, this information to be more easily consumed driving better investment and business decisions. We invested and became a key strategic partner and customer in a company called DealCloud. DealCloud today is one of our key technology platforms internally and is utilized by many leading private fund managers as well as several large financial institutions, including KPMG and Raymond James. In 2018, Intapp, a leading provider of cloud-based software and services for the global professional and financial services industry acquired DealCloud. DealCloud represented a key component to their ability to offer a comprehensive solution to all participants in the capital markets and professional services industries. For us, the deal confirmed our view around the benefits and value of DealCloud's product offering and ultimately generated a return of over 8x on our initial investment. After the acquisition, we remained and continued to be a key customer of DealCloud, and the new owner Intapp, desired our ongoing strategic partnership. As a result, they provided Hamilton an opportunity to invest directly in Intapp following the acquisition of DealCloud. Now coming back to present time. On June 30, Intapp completed its IPO at $26 a share. We had invested $3 million in Intapp and based on last week's closing price of $33.90, that investment is now worth approximately $8.5 million or 2.8x our investment. We strongly believe there will continue -- be continued opportunities with our balance sheet capital to work and to become key partners with future technology companies that will make this asset class better and more accessible. Our track record demonstrates our success in identifying these opportunities, and we believe we will continue to be a sought-after partner for these companies. Let me now move to another one of our strategic tech investments and provide an update as it relates on a recently announced financing round. As many of you are aware, back in March of 2020, Hamilton Lane invested balance sheet capital into iCapital. We joined a group of blue chip investors that include BlackRock, Goldman Sachs and Blackstone who share in the vision of iCapital and their pursuit of providing seamless and democratized access to private investment opportunities to high-net-worth investors. Alongside our investment and consistent with our tech-investing approach, we formed a strategic partnership with iCapital that includes private market education modules for their advisers and clients, along with offering a number of our specialized funds on their platform today. On July 27, iCapital announced the closing of another financing round that will support the continued growth of their platform. Based on the valuation of this round, our original $10 million investment in iCapital is now valued at $40 million, generating a return of 4x in less than 18 months. With that, let me now turn it over to Atul to cover the financials.
Atul Varma: Thank you, Erik, and good morning, everyone. Slide 8 of the presentation shows financial highlights for the first quarter of fiscal 2022. We continue to see solid growth in our business with management and advisory fee up 10% versus the prior year period. Our specialized funds revenue increased $1.2 million or 4% compared to the prior year period, driven by $1 million from our latest direct equity fund in the current year period. As this was the first quarter we recognized revenue for the fund, there were no retro fees related to the prior periods. In the prior year period, we recognized $3.8 million in retro fees from our latest secondary fund. As many of you are likely aware, investors that come into later closes of the fund raise for many of our products pay retroactive fees dating back to the fund's first close. Therefore, you typically see a spike in management fees related to that fund for the quarter in which subsequent closes occur. Revenue from our customized separate accounts increased $1 million compared to the prior year due to the addition of several new accounts and re-ups from existing clients. Revenue from our reporting and other offerings increased $2.4 million compared to the prior year period, driven by the revenue associated with the pre-existing funds managed by the 361 Capital team that we acquired in April of 2021. In addition, we saw a $2.4 million increase in revenue compared to the prior year period from our distribution management business due to strong distribution activity in the quarter. The final component of our revenue is incentive fees. Incentive fees for the period were $5.1 million or 6% of total revenue. Moving to Slide 9. We provide some additional detail on our unrealized carry balance. Given the continued positive trend in valuations, the balance is up 160% from the prior year, even as we recognize $54.8 million of incentive fee during that period. Unrealized carry balance now stands at $809 million. And just to remind everyone, we don't control these positions, and thus, we don't control the timing of exit. Turning to Slide 10, which profiles our earnings. Our fee-related earnings were up 21% versus the prior year period, as a result of the revenue growth we discussed earlier, along with growth in our margin. In regard to our expenses, total expenses increased $2.3 million compared to the prior year period. G&A increased $6 million, which included the rent expense associated with our new headquarters, along with expenses from 361 Capital. Total compensation and benefits decreased by $3.6 million. Moving to our balance sheet on Slide 11. Our largest asset on our balance sheet is investments alongside our clients in our customized separate accounts and specialized funds. Over the long term, we view these investments as an important component of our continued growth, and we'll continue to invest our balance sheet capital alongside our clients. In regard to liabilities, we continue to be modestly levered even with the increase in our debt balance used to fund the Russell Investments last quarter. And with that, we thank you for joining the call and are happy to open it up for questions.
Operator: [Operator Instructions] Our first question is from the line of Michael Cyprys of Morgan Stanley.
Michael Cyprys: Great. Just want to come back to the FRE margin that you guys put up in the quarter of 45%. Can you just help us quantify maybe how much of that is benefiting from the COVID-induced savings on the T&E line. And I imagine as we kind of move forward from here, at some point, there should be some of that coming back in -- the T&E cost back into the run rate. So I imagine that 45% comes down somewhat but maybe not towards the 41-or-so level that you had pre COVID. But maybe you could just kind of help us out there on moving pieces? And then as you kind of think about moving forward, what could be the partial offsets to maybe enhance the margin and kind of bring it back to the 45% where it is today? And how do you think about the longer-term margin opportunity for the business.
Erik Hirsch: Sure, Mike. It's Erik. Let me start there and take that. I think you are right. And I would really think about sort of the margin growth being driven by sort of 2 factors. One, as you noted, is certainly some of the COVID impact, particularly driven around sort of the reduction in T&E. As we look out sort of for the remainder of this year, I would say sort of indications are we're just not seeing a rapid return to conferences, big events or significant international travel. So we'll continue to keep an eye on that. But as we sit here today, that all continues to look muted for the next several months. I think the second driver of the margin is really around the mix in the business. As you well know, as our kind of specialized fund business, and I would certainly include the Evergreen platform in that continues to grow, that is a higher fee, higher margin, more leverageable aspect to our business. And so I think the increase in margin from the 41% to 45% is really driven by both of those components. The exact ratio of that, I think, is hard to quantify. But I think it's -- there's a combo of both of those occurring. As we look forward in terms of what can, kind of, keep it going up or what could sort of pull it back, I think on the keep it going up, obviously, kind of continued growth as we've been experiencing around specialized funds, Evergreen, all of that is a positive driver to margin. On the sort of moving backwards or sort of seeing a reduction, I think that would really be sort of 2 pieces. I think, one, it would be seeing a kind of return-to-normal or even perhaps a beyond-normal level of T&E. And the second piece that I think we're certainly keeping an eye on is something that you've heard other people talk about in prior earnings calls, which is wage pressure. And so we're seeing real competition for talent across a lot of our different hiring areas. If you were to look on our website today, you would see a number of job openings because we continue to be growing strongly, and so I think those could be potential negative impacts.
Michael Cyprys: Great. And maybe just a follow-up question on the Evergreen strategy. I think you mentioned $1.3 billion of capital there now. Hoping you could update us a bit on the distribution strategy. How many platforms are you guys on now in the U.S.? How do you see that evolving as you look out over the next months or so? Can you talk about some of the sales resources you're putting up against that and some of the actions you guys are taking to drive growth from here in the retail channel?
Erik Hirsch: Sure, Mike. It's Erik. I'll stick with that. I think as we said in the script, right now, we've got about 20 distribution partners globally. We're sort of thinking about the platform holistically, and we're attacking it holistically. So while we have a U.S. sleeve and we have a non-U.S. sleeve, I think from the firm's orientation, as we had said in the past, the investment strategies and even the specific investment portfolios are very, very similar across the 2 vehicles. There's just different structural reasons, as we do in a lot of our vehicles to have different sort of subentities domiciled in different areas. So here, I think it's -- we've had really good success here in getting some distribution partners. So as we said, 20 today with a strong pipeline of others coming. We continue to build out our internal sales force. So beyond the resources that Hamilton Lane had 2 years ago, we've added to that, obviously, the 361 acquisition has further added to that. And if you look at some of the additional hires on our sales force, a number of them are specifically targeted on the retail opportunity. So I think we've always looked at this as sort of a 2-prong approach. You've got to have great internal resources, we do, we continue to add to that. And then you really get leverage off of those internal resources by finding good distribution partners, having success in getting into their channels, having them know and support the product and then having them help move that product. So when you look at sort of the country count, the 18 countries, the 20 distribution partners, the fact that we sort of view that getting over $1 billion is a very, very meaningful place to be. It's not a place where all of the competitors are today, a lot of people are still sitting in kind of that couple of hundred million dollar range. I think getting the attention requires you being at scale, proving to the market that you can operate there. And we think kind of being at that $1.3 billion today, you saw us sort of put up those July flows of $78 million. We think all of that is very strong and bodes well for the future.
Operator: Next question is from the line of Ken Worthington of JPMorgan.
Ken Worthington: So I was hoping to hear more of your comments about the pace of accrued carry realization. So you mentioned in the prepared remarks, you don't control the investments, but that aggregate accrued carry number does continue to grow really, really smartly. And then the mix, I think, of your underlying funds, there's more sort of American-carried structured products complementing the more historical European carried structured products. So given the great environment, more American-style funds entering the mix, more European funds may be migrating towards later life, any thoughts that you can share about the outlook for carry generation?
Erik Hirsch: Sure, Ken. It's Erik. I'll dive in there. I think as we look at the carry story, we sort of put it into the piece that we can control and the piece that we can't control. I think the piece that we can control is actually doing good investments. And I think when you look at the rise in the unrealized value, I think that's very indicative of we're putting the money to work in a smart way. Our clients are very much benefiting from that and then us sort of aligned with them are also benefiting on the carry side. So that piece, I think, growing very, very nicely. It's strong. And it's not only just the magnitude of those carry dollars, it's also continuing to see the number of vehicles that today we're now over 80 different vehicles that have a carry component. I think your second part is spot on, which is, I think if you think about the carry as kind of a pie chart, if you will, if you went back in sort of the firm's history, that pie chart would have been almost exclusively kind of European waterfall, that there would have been very little diversification in that pie chart. It would have been all of our vehicles, our big flagship funds, co-investment secondary, et cetera, following that European waterfall mindset model. If you look out sort of the other -- the sort of the growth in the business and other areas where we are picking up carry-generating dollars, it's really 2 places. One is in separate accounts that have transactional components to them and a growing number of those are more on a deal-by-deal model, just given the structure of the separate account. And the second place that we think, over time, we will continue to generate meaningful carry dollars is in this retail Evergreen. That is by nature of the structure a deal-by-deal environment. Now we've also said that we've only been in that business for 2 years, and so the first deals that we've done there are at best 2 years old. In an environment when you look at kind of what the average exit is for a private asset in today's market, and you're running about 4.5 to 5 years. So I think over time, that pie mix is going to change where you will see a growing proportion of our carry coming in more of that deal-by-deal and American style waterfall. But I think the totality of those dollars continues to be what we're focused on, and I think that story continues to be very strong.
Ken Worthington: Okay. Great. And then just on the secondary fund market, what are we seeing for industry activity levels in secondaries? And is the pace of deals in that market sort of commensurate with the level of assets that have come into secondary funds? And just maybe talk about the competitive nature of secondaries? You just raised one, you're putting money to work. What do things look like in that market today?
Mario Giannini: Ken, it's Mario. It's an interesting market, as we've mentioned on prior calls. I think you can look at the market in 2 pieces. There's the traditional LP interest market, which continues to grow. It has its ups and downs. Pricing is pretty robust in that market today. And I would say that the number of deals continues to grow at a reasonable pace. Where the market has really expanded is in the GP-led deals, continuation funds, single-asset deals. And that market is now, I think, it's something like 3/4 of the entire secondary market is composed of that sort of transaction. And it is one of the markets, interestingly, where the supply exceeds demand, even with all of the capital that's been raised in the secondary market, the volume of deals, particularly again around that GP-led transaction space, really, you can say, dwarfs, but it certainly is far higher than the amount of capital that's there. So oddly enough, in today's market, that is one of the places where you see a supply-demand imbalance and where if you have capital, you have your choice of deals. You are not really scrambling to say, "Oh my gosh, I've got to put money to work because there aren't enough deals. So I suspect that will continue for some period of time, particularly because it's a very attractive market for channel partners to effectively sell, and in many cases, retain interest in the companies that they really like. And it's an area for limited partners to invest very attractive assets. So I think that will continue for some time.
Operator: Next question is from the line of Alex Blostein of Goldman Sachs.
Alex Blostein: A couple on the revenue fee dynamics. So first, I was hoping to touch on the momentum in the specialized funds that you talked about earlier and the impact on management fees, I guess, over the next couple of quarters. So how much, I guess, of the co-invest fund, the impact fund II and the infra is already sort of in the run rate as of this quarter? How much more should we expect, I guess, over the coming quarters? Any ideas on sort of capacity for these bonds as you highlighted, Erik, that they're going to be in the fundraising mode for a little bit of time still?
Erik Hirsch: Sure, Alex, it's Erik. I'll take that. So it's a mix. So some of those things have, given where the closing occurred versus the quarter, so some of that's not baked in because the things these are just occurred and some of that where we've been having some staggered closing, some of that is there. From a capacity standpoint, we haven't sort of announced publicly targets across any of those vehicles as we noted. We do have a long time on the fund raise purposely. And so our view is that if you think about impact, if you think about infrastructure, which we're excited to add to the mix, we see those as very, very scalable. And when we think about kind of our investment deal flow, the opportunity sets that are sitting in front of us today, we see these as platforms that we can grow, over time, into very meaningful large contributors to sort of firm growth. So I think we sit here today excited about the fact that coming out of the gate with infra, first close that's already kind of close to $350 million, I think all that just sort of bodes well for the future. And so I think you're going to see the contribution to those vehicles occurring in the future. That is not where we sit or sitting today.
Alex Blostein: Got it. And then maybe another one also around management fees. I guess, on a slower side of things, the separate accounts, the customized separate account growth has been a bit more muted kind of in the low single-digit range here over the last 3 quarters on a year-over-year basis. I heard your comments about 80% of the growth here is coming from re-ups. Is lack of revenue growth here a function of people just re-upping for the same amount that's sort of maturing? If that's the case, kind of, how do you guys work through expanding the LP network so that growth can come back maybe closer to this double-digit kind of management fee growth rate is what used to sort of thinking about for private markets?
Erik Hirsch: Sure. Alex, it's Erik. I'll stick with that. I think I think it's a couple of pieces. I think, one, when you think about the size of our installed base, I think in this environment where, again, we've said in the past, separate account people, it's a different diligence, it's a different relationship kickoff. There tends to be a lot more in-person time spent, office visits, due diligence site visits, et cetera. A little harder to do that in a pandemic. And so the fact that we're still getting 20% of the growth coming from a new installed base, we think is impressive and strong. The other piece I would just highlight is that increasingly, we're finding that a number of our separate account clients might find themselves beginning the relationship with their first invested dollars going into a specialized fund, particularly when we've got things that are a little bit more J-curve mitigation oriented, like secondaries or credit. So I think also some of this is simply timing of flows where the first thing you're seeing when you get a new separate account is not actually separate account flows but it's actually specialized fund flows. But you have won the business, dollars are coming and they will just come into the traditional separate account later after they have already sort of done some of the earlier strategic components, which tend to involve the specialized funds.
Alex Blostein: Got it. That's helpful context. If I could just squeeze in one more, and this is really just a follow-up to Mike's question. I'm just trying to understand what the message, I guess, ultimately is on FRE margins for you guys. I guess in the past, you talked about the need to invest in the business, but some of these initiatives on specialized funds and Evergreens really start to scale, should we be thinking about sort of more normalized FRE margin for Hamilton Lane in the mid- to high-40s? Or should we think about that migrating back to the low-40s?
Erik Hirsch: Yes, Alex, look -- it's Erik, again. I mean, I think it's -- I think both things can be true. I think there's an element where from the firm's mindset, we said this clearly and we'll say it again, I mean, we don't wake up in the morning thinking about how can we extract another penny for margin. We wake up in the morning as a management team thinking about how can we continue to sustain strong double-digit growth across a diversified set of client base, across diversified geographies and how can we do that in a sustainable, scalable, market-leading way. That is where our mindset is. Now the nature of the business is that there are things that obviously lend themselves to operating leverage, and you do see some of that coming through. I think what we have to sort of continue to look at and we will is, what does the business need and what investments are required to continue the same -- sustain the sort of market-leading position. Whatever that's going to require, we're -- I think we've got a 30-year history of doing that. So I think the jump from the 41% to 45%, as I said before, is clearly not all kind of pandemic created, but there are a lot of market forces that are sort of playing here that we're going to have to see how that plays out, whether that's -- again, do we believe that wage pressure is going to continue for the next several years? We don't know. Do you sort of think return to travel sort of happens rapidly or not? We don't know. I think those are going to be the balancing pieces. But there's no question that as you continue to scale specialized funds, you pick up some good operating leverage as a result of that, and we're benefiting from that today. And I suspect we will continue to have some benefit of that into the future.
Operator: Next question is from the line of Margo Rybeck of KBW.
Margo Rybeck: This is Margo filling in for Rob. I was hoping you could talk a little bit about compensation. I know it was down for the quarter. Could you talk about why that was? And also, I know you had mentioned some wage pressure in the industry, but kind of how we should think about compensation going forward?
Erik Hirsch: Sure, Margo. It's Erik. I'm happy to jump in on that. I think on the compensation, I think what I would sort of draw people's attention to is that last year's compensation was sort of non-normalized for really 2 factors. One of it was sort of upswing in margin that was, again, kind of pandemic-oriented. The business was just performing well in the bonus pool accrued as it should. But the second bigger part of that was that, recall last year, we had a lot of retro fees that is still revenue and we still accrue bonus off of that, but those are not recurring. And so the base of last year's compensation should not have been sort of the base on which people were expanding this year. You got to sort of normalize that and pull out sort of the retro fees to make it compensation on kind of a recurring revenue basis. So when you do that, I think that puts you in a compensation number that is more like sort of that $26 million range. And so I think the combo of those factors is why it looks like you're seeing compensation coming down. It is, but again, partly because the compensation had gone up around more of a onetime basis. I think on the fee pressure, I think if you talk to our hiring managers, if you talk to departmental managers, they would tell you that right now in today's market, there are certain areas, certain skill sets that are just in high demand, whether those are software development or IT oriented or whether they are back-office specialists or valuation experts, things that are kind of designed around people kind of continuing to grow and scale their businesses and needing operational support. And so we've got a number of job openings. Again, you can go look at the website and see them all posted there. And I think we need to be just mindful and reflective of kind of where market compensation is sort of coming out and making sure that we're putting ourselves in a position to be attractive. Now if you look at our history, I think we have our ability to attract and retain talent has not simply been the result of paying the most money, it's about providing a great work experience. I think things like best places to work and being a long-time winner of that, I think all of those things bode well in our ability to compete well for talent. And so -- but I think you've heard from others, you're now hearing from us, it is something that is occurring out there and we're all kind of keeping an eye on it.
Margo Rybeck: Great. That's very helpful. And then just one more. Would you able to give an update on committed dry powder that's not earning fees?
Erik Hirsch: Yes, sure. It's Erik, Margo. So that's not a number that we have posted. I think what we have said in the past is, we have a lot of it. It's the nature of the business. It's the way we're all structured. It's something that we all have. I think we have sort of opted to take a different tact on not advertising that. It's there. It's substantial. A lot of that, as you know, is sort of replacing dollars that are expiring. And so not all of that, by definition, can be new growth. And I think from our end, we've always preferred to simply talk about dollars that are in hand that we are driving revenue and benefiting shareholders from today as opposed to what might be coming tomorrow in the future.
Operator: Next question is from the line of Adam Beatty of UBS.
Adam Beatty: My first question is kind of draws upon your experience launching the infrastructure fund, just given the volume that you've seen and the pretty brisk time frame around it. I was wondering, given the evolution out of sort of the separate account venue, what other things, what other product areas you might be seeing in separate accounts that might have a similar sort of maybe pent-up demand where you could either introduce a new specialized fund or just capitalize it -- on it otherwise?
Erik Hirsch: Sure. It's Erik. I'll take that. I think if you look at our history, mean we've always done separate accounts in a particular area prior to launching a specialized fund. We have found that it's been, one, it's sort of the demand initially comes from your -- in our experience from your kind of current installed base. So it comes from that customer who already has the relationship with you who already trust you, who says, "Hey, can I ask you to now do secondaries for me or co-investments or whatever that thing may be?" And so you start to develop a track record via that separate account, you start to develop deal flow, you start to develop a market reputation. And then inevitably, that tends to lead to kind of higher investor demand, which then leads to an ability, desire, et cetera, to go launch a specialized fund. That's what happened for us in the credit space, the secondary space, the co-investment space, it's now what's happening for us in the impact space and the infrastructure space. So I think we've always said that we view ourselves as a relatively small player in the specialized fund business. There are lots of areas today that we don't offer a specialized product. In some cases, the market doesn't need it or want it yet. That might change over time. And in some cases, we've got our hands sort of more than full with all of the sort of successful fundraises we have going on already. But I think if you look out and you sort of look at what are big areas in which we're a meaningful player and you could see demand, you could see specialization across geography. We don't really offer geographic-specialized products today, i.e., an Asia fund. We also don't offer specialized products in the growth equity or venture capital area. So I think we sort of still see a lot of whitespace out there across the specialized fund universe. And I think even in the last sort of 1.5 years, despite being in a pandemic, we've now created 2 brand new verticals with impact. And with infrastructure, and if you go back 2 years ago, creating the Evergreen vertical, I think it sort of shows you that the firm is very focused on innovating. We've got the investment, bandwidth, background and track record to justify being in those spaces. And I think our goal is, we'll continue to innovate into the future.
Adam Beatty: Interesting. I appreciate that. And then just a follow-up on the distribution of the Evergreen Fund, pretty impressive in terms of the build out internationally in the number of countries. And it sounds like you've got several platforms kind of in the pipeline as well. Could you comment just briefly on the mix of that? I mean, given bringing on 361, my mindset is kind of that it would be more tilted toward domestic at this point, but maybe that's not true. So anything you can say about the types of distributors and the geography would be appreciated?
Erik Hirsch: Sure. It's Erik, again, and I'll stick with that. I mean, remember, the international product had a significant time head start. So we have more assets outside the U.S. today than we do inside the U.S. I think largely the result of we had more than a year head start in terms of how quickly we're able to get through the regulatory environment. And so that's sort of where we are today. From a sales perspective, I would say the resources are relatively geographically evenly split. We have a number of people outside the U.S. exclusively focused on sort of selling this retail. And we have a number of people inside the U.S., not the least of which is the 361 crew in addition to some of the existing Hamilton Lane resources, that are sort of focused on selling this inside the U.S. Distribution partners are again kind of across those different geographies. And so our goal, as we sit here today, is to just continue that sort of geographic march across the globe and continue as we move along into distant distribution partners. I think one of the points that we wanted to sort of emphasize around the size of the vehicle and why we think kind of being over the $1 billion mark is that there are some distribution partners who simply do not want to engage with you until you're kind of at those kinds of levels where they feel like you can then handle their flows. They tend to be larger organizations. And so they want to see scale, they want to see track record viability and the fact that you can prove that you can scale with more dollars and do that successfully, and they want to see some longevity in the track record. So we're now running kind of at the 2-plus year mark. We're now over that $1 billion mark. We think all of that is sort of boding well for making us very attractive to those platforms.
Adam Beatty: Excellent. Is the 2-year, in your experience, an important milestone in terms of the track record?
Erik Hirsch: I don't think any of this is magical and there's nothing that's kind of hardset rules. I think as you go around from organization-to-organization, each of them has sort of some different sort of gauges that they view as important in terms of either how old your organization is or how long your vehicle has been in operation or how big it is or what your monthly flows are. So I think our point is that we're kind of looking good across any of those metrics today. And we think that, that just continues for the future and all that should serve us well.
Operator: Thank you, participants. I'll now turn the call back over to Erik Hirsch for final remarks.
Erik Hirsch: Great. As always, we appreciate the time. We know everyone is busy. We know this is a particularly busy week. So we appreciate the time and the support, and we wish everyone a good day.
Operator: And that concludes today's conference. Thank you all for joining. You may now disconnect.